Operator: Greetings and welcome to the Skechers first quarter 2018 earnings conference call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions]. As a reminder, this conference is being recorded. I would now like to turn the conference over to Skechers. You may begin.
Unidentified Company Representative: Thank you, everyone for joining us on Skechers conference call today. I will now read the Safe Harbor statement. Certain statements contained herein including, without limitation, statements addressing the beliefs, plans, objectives, estimates or expectations of the company or future results or events may constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 as amended. Such forward-looking statements involve known and unknown risks including, but not limited to, global, national and local economic, business and market conditions in general and specifically as they apply to the retail industry and the company. There can be no assurance that the actual future results, performance or achievements expressed or implied by such forward-looking statements will occur. Users of the forward-looking statements are encouraged to review the company's filings with the U.S. Securities and Exchange Commission, including the most recent annual report on Form 10-K, quarterly reports on Form 10-Q, current reports on Form 8-K and all other reports filed with the SEC as required by federal securities laws for a description of all other significant risk factors that may affect the company's business, results of operations and financial conditions. With that, I would like to turn the call over to Skechers' Chief Operating Officer, David Weinberg and Chief Financial Officer, John Vandemore. David?
David Weinberg: Good afternoon and thank you for joining us today to review Skechers first quarter 2018 financial results. Joining me on the call today is John Vandemore, Skechers' Chief Financial Officer, who will discuss our financial results in detail. First quarter sales increased 16.5% to $1.25 billion which marks a new quarterly sales record, a result of the growth we achieved across our three distribution channels, domestic wholesale, international wholesale and our global company-owned Skechers retail stores. This is a testament to the worldwide strength and relevance of our brand. First quarter highlights include a new quarterly sales record, an 8.5% sales gain in our domestic wholesale business with an increase of 15.1% in pairs shipped, a 17.9% sales increase in our international wholesale business primarily due to our subsidiary and joint venture countries, a 26.4% sales increase in our global company-owned retail stores with comp store sales increasing 9.5% globally, international wholesale and retail represented 54% of our total business expanding our Skechers retail networks to 2,651 stores worldwide, achieving a new record shipping quarter for both our North American and European distribution centers. We repurchased 76,000 shares at a cost of $3 million. Now turning to our business channels in detail. Our domestic wholesale business increased 8.5% for the first quarter. The growth was the result of a 15.1% increase in pairs shipped with a 5.7% decrease in average price per pair, primarily due to product mix and the strength of several collections that have a lower average selling price. Our men's and our kids footwear achieved double-digit growth in the quarter and our women's business had mid-single-digit gains. The growth was across multiple lines including On the Go, Bobs, sandals, sport and work. To support our spring domestic business, we ran multiple media campaigns targeted at men and women, including Skechers D'lites, Skechers Street, Skechers GOwalk Joy, Bobs, Skech-Knit and sandals. For young women, we are also ran a new Camila Cabello, Skechers D'lites TV commercial and digital campaign. The resurgence of this shoe style brought new attention to Skechers D'lites from fashion forward youth and influencers who sought the originator of this retro look. For men, we also utilized our legendary athletes with commercials featuring David Ortiz, Howie Long and a new campaign featuring Tony Romo. Further, both Camila Cabello and David Ortiz aired in English and Spanish. To support our running business, we again sponsored the Houston Marathon and we were the title sponsor of the Skechers Performance Los Angeles Marathon. Skechers athlete, Weldon Kirui won the men's division for the second time in three years, achieving victory in Skechers Performance footwear. For our growing golf business, we have multiple leading golf ambassadors competing in our GO GOLF footwear and apparel. Just this past weekend, the lead golfer Brooke Henderson won the Lotte Championship in Hawaii, wearing Skechers Go Golf footwear and apparel. For younger kids, we ran new Twinkle Toes and Energy Lights commercials. And for youth and tweens, we aired two Comfort Sport commercials. In January, trend leading online publication, Hypebae noted Skechers was about to become the new it-shoe of 2018. The attention from media accounts and consumers was evident in the growth we achieved in the quarter. The renewed interest we are experiencing in our heritage footwear lines as well as in our new offerings leads us to believe our domestic wholesale business will continue to be strong in 2018. International wholesale remains our biggest distribution channel, representing 46.2% of our total sales, while international wholesale and retail combined represented 54% for the quarter. Our total international wholesale business increased by 17.9% or $87.6 million in the first quarter. The increase was the result of a 25.7% growth in our subsidiary and joint venture businesses and was offset by our distributor business, which decreased by 22.2%. As expected, this decrease was primarily the result of the unstable political and economic environment in the Middle East, combined with the timing of several key partners' shipments. Further detailing our international growth, for the quarter, our wholly-owned international subsidiary business grew by 25.9% and our joint venture sales grew by 25.4%. All of our European subsidiaries achieved double-digit growth with the U.K., Germany, Italy and Spain experiencing the highest dollar gains. Canada also continued to achieve strong gains. China remains a dominant force in our Asia business with approximately 4.4 million pairs shipped in the quarter, a retail base of approximately 800 Skechers freestanding stores and 2,400 points of sales and a strong e-commerce business, which grew by high double digits in the first quarter. In addition, India, South Korea and Singapore all had considerable dollar and percentage sales gains in the first quarter. We are pleased with the continued growth we are experiencing with our distributors in Scandinavia, Russia and Turkey as well as with several others. Our distributor in the UAE who handles our business across much of the Middle East and South Africa still faces some challenges in the region, but they are expecting improvements to their business by year-end. At year-end, there were 1,994 Skechers branded stores owned and operated by international distribution partners, joint ventures and a growing network of franchisees. In the first quarter, 79 third-party owned stores opened, which included 21 in China, 19 in India, seven in South Korea, three in both Indonesia and Taiwan, two each in Australia, England, Israel, Netherlands, Japan, Turkey and Nigeria and one each in Denmark, Greece, Hungary, Italy, Malaysia, Portugal, Serbia, Sweden, Switzerland, the UAE, Ukraine and Vietnam. 27 stores closed in the first quarter. Nine third-party owned Skechers stores have opened in the second quarter to-date, bringing the total third-party stores to 2003. We expect another 450 to 475 third-party owned Skechers branded stores to open in the remainder of 2018. Our international business remains the biggest opportunity and we believe we will continue to grow at a faster pace than that of our domestic businesses. In our company-owned global retail business, sales increased 26.4%, which was the result of the sales increase of 62.1% in our international stores and 13.5% in our domestic retail stores. This included worldwide positive comp store sales of 9.5% in the quarter, including 7% domestically and 17.6% internationally. At quarter-end, we had 657 company-owned Skechers retail stores of which 203 were outside the United States. In the first quarter, we opened 15 stores including a new store in London's Covent Garden. Three stores closed in the quarter. So far in the second quarter, we have opened two new concept stores. One in La Jolla, California and the other in Japan and expanded and remodeled our flagship store in Manhattan Beach, California. For the remainder of 2018, we expect to open an additional 60 to 75 company-owned Skechers stores and remodel or relocate 15 to 20 existing stores. Adding to our growth was our domestic e-commerce business, which grew by 12.7% for the quarter. We also have company-owned and operated e-commerce sites in Chile, Germany, the U.K., Spain and Canada. Now I will turn the call over to John to review our financials.
John Vandemore: Thanks David. I am pleased to share our first quarter results with you, which once again illustrate the tremendous growth potential of our strategy. First quarter sales increased 16.5% over the prior-year to $1.25 billion, a new quarterly record. This growth was driven by increases in all our business segments, including domestic wholesale of 8.5%, international wholesale of 17.9% and company-owned global retail stores of 26.4%. The record sales was despite a decline in our distributor sales of 22.2%, due in part to the weakness in the Middle East that David mentioned. Excluding distributor sales, our international wholesale business was up 25.7% in the quarter. Gross profit was $583.1 million, up $106.6 million, compared to the prior-year. And gross margins increased 230 basis points to 46.7%. This improvement was attributable to strength in our gross margin accretive international company-owned retail business and international wholesale subsidiaries, due in part to favorable foreign exchange rates as well as lower sales from margin dilutive distributors. Selling expenses increased $10.6 million to $84.4 million or 6.8% of sales. It was a 10 basis point improvement from 6.9% of sales in the prior-year. The dollar increase was due to higher international advertising expenses to support our overseas growth. General and administrative expenses were up $72.9 million to $355.4 million, representing 28.4% of sales compared to 26.3% of sales in the prior-year period. The increase reflects our continued investment in our long-term global growth initiatives and included $37.4 million to support international growth in the company's joint venture and subsidiary businesses. It also included an increase of $18.3 million associated with 73 additional company-owned Skechers stores, of which 15 opened in the first quarter. Domestic wholesale general and administrative expenses increased $17.2 million year-over-year, primarily due to increased distribution and warehousing costs due to greater domestic wholesale and retail sales volumes as well as increased headcount to support new product development and sales capabilities. Earnings from operations increased 19.6% versus the prior year to $148.8 million and as a percentage of sales represented a 30 basis point improvement from 11.6% in the prior-year to 11.9%. Our operating leverage was lower than anticipated due to higher than planned international distribution related costs. Net income for the first quarter was $117.7 million or $0.75 per diluted share on 157.6 million shares outstanding compared to $94 million or $0.60 per diluted share on 155.9 million shares outstanding in the prior-year period. Our income tax rate for the quarter was 9.6%, reflecting certain discrete tax benefits primarily associated with the refinement in our understanding of the various provisions of the Tax Cuts and Jobs Act. The benefit of these discrete tax items to our diluted earnings per share was approximately $0.07 per share. We continue to expect our effective tax rate for 2018 to be 12% to 17%. And now turning to our balance sheet. At March 31, 2018, we had $700.1 million in cash and cash equivalents or approximately $4.44 per diluted share. During the first quarter, we began repurchasing shares pursuant to our three-year $150 million repurchase authorization. We acquired and retired approximately 76,000 shares of our Class A common stock at a cost of $3 million. We remain confident in the strength of our balance sheet and our ability to fund our growth prospects while simultaneously executing this repurchase authorization. Trade accounts receivable at quarter-end were $692.6 million, an increase of $141 million from March 31, 2017 and our DSOs were 40 days at March 31, 2018, compared to 37 days in the same period last year. The increase in DSOs was primarily attributable to the timing of sales in the quarter. Total inventory, including merchandise in transit, was $800.3 million, an increase of $214.5 million or 36.6% compared to the same period last year. This increase in inventory is in line with our growth expectations for our global business. Long-term debt was $70.6 million, compared to $68.8 million at March 31, 2017. Working capital was $1.6 million versus $1.3 billion at March 31, 2017, primarily reflecting the aforementioned inventory and accounts receivable levels. Capital expenditures for the first quarter were approximately $34.5 million, of which $14.9 million was related to 15 new company-owned domestic and international store openings and nine store remodels or expansion and $8.2 million to support our international wholesale operations and $1.5 million for our domestic corporate office renovations. For the remainder of 2018, we expect our ongoing capital expenditures to be approximately $50 million to $55 million which includes an additional 60 to 75 company owned retail store openings, 15 to 20 store remodels, expansions or relocations and office renovations. This estimate excludes capital expenditures related to our distribution centers worldwide, including China as well as our office expansion here in the South Bay, some of which may break ground later this year. Turning to our second quarter guidance. With new product deliveries and expanded global infrastructure and a strong cash and inventory position, we believe we will achieve second quarter sales in the range of $1.12 billion to $1.145 billion and net earnings per diluted share of $0.38 to $0.43. To note, this guidance includes the expected shift of some shipments from the second quarter into the back half of the year for several key international distributors as well as domestic wholesale accounts. I will now turn the call back to David for closing remarks.
David Weinberg: Thank you John. The first quarter marked a new quarterly sales record, a significant achievement on top of a record 2017 and an indicator of the strength of our brand, product and marketing worldwide. The record sales were a direct result of the commitment of our teams worldwide to provide consumers with style and comfort they want at the right price. In the quarter, we achieved strong increases in our three distribution channels and in our men's, women's and kids businesses. Further, with a diverse product offering, we are resonating with a broad demographic base, including a growing team and fashion forward audience with Skechers Street and the resurgence of Skechers D'lites. To reach this developing audience worldwide, we increased our marketing support and continued to invest in relevant influencers and ambassadors. Going forward, we are well positioned for growth within these channels and markets and will continue to maintain our edge in product innovation, development and distribution. To ensure our success this year and in the coming years, we are making investments in our operations and logistics worldwide and we continue to believe that the global market proposes our strongest growth potential. And with that, I would now like to turn the call over to the operator to begin the question-and-answer portion of the conference call.
Operator: [Operator Instructions]. Our first question is from Jeff Van Sinderen from B. Riley FBR. Please go ahead.
Jeff Van Sinderen: Good afternoon. I wonder if you can just walk us through a little bit more detail on why orders are shifting more to the second half? I guess how much of an impact is that is due to the issues in the Middle East? Maybe if you could just give us the buckets of what's going on there? Is there something with the calendar shift, weather? Also, is there any change in sell-through rates at your wholesale accounts due to a fashion shift or something else? Can we rule out an issue, I guess, with product content being part of the reason? Just trying to, I guess, get a sense of why there are differing receipt of merchandise? Thanks.
David Weinberg: Okay. Jeff, that's a multi-faceted question.
Jeff Van Sinderen: It is.
David Weinberg: [Indiscernible] number of issues you raised. The first of which, I do believe is partially the weather. As we completed our cycle and we were so hot in the marketplace, especially in the U.S. and Europe, they took everything that we had available for the first quarter. Nothing slipped into the second quarter and if they had something available early, they picked it up slightly early. The weather being what it was, we were checking well, but they still have to clean out their inventory and they are probably running somewhat behind. So the anticipation is that rather than any movement from July to June, which was big last year, if there is any movement it would go the other way from June to July simply so they get ready for the back-to-school season. It also includes the Middle East, which won't be coming back online until the middle of the second or probably the end of the second quarter if things go well. They do see some improvements but that's going to be an issue for us going forward at least until third quarter. So we have a lot of prospects building for a very positive and significantly higher third quarter. Also in Europe, weather was a concern. And while we shipped better than we anticipated, it's still going to take them a while longer to get it done. In EMEA, they historically start in third quarter. So there is no real pick up. So what you have is a relatively light quarter. If first and third quarters are going to be so strong, then second quarter has very little places to pick it up from. Europe doesn't have business that starts then. Southeast Asia doesn't grow as significantly and Q3 is certainly bigger and with the U.S. moving things from Q2 to Q3, it's a limited amount of positive news for Q2 although very positive for Q3 and going into year-end. So we do believe we are still on target. Our backlogs and incoming order rates don't show the significant change as we see in the third quarter. It's more a timing shift rather than orders or relevance or product and deliveries. So if you put that all together, we end up with a very strong Q1, a modest Q2 and a very strong Q3 which is what we are anticipating at this time and really have no changes how we feel about the year other than timing that we had three months ago.
Jeff Van Sinderen: Okay. That's helpful. And then just as we are thinking about Q3 and Q4, I don't know, is there anything you can give us, I guess, on Q3 in terms of how we should think about domestic and international growth there? I know obviously the Middle East is sort of a moving target.
John Vandemore: Yes. This is John. So I think as we look forward to the year for domestic, we are still on track for what we anticipated and saw in Q1. It's just as David mentioned, we have a bit of a lull in Q2 due to timing. We also have a tough comparable last year. If you recall, there was a timing shift into Q2 of about $20 million that is exacerbating the comparability of the two. David mentioned, we see very strong backlogs in Q3 and Q4 now and our full-year prospects, I think, remain similarly positioned to where they were after the end of Q4.
Jeff Van Sinderen: Okay. That's helpful. So just one more. So it doesn't sound like there is a product issue. It sounds like there is really just a timing shift. And then any color you can give us on what do you think you will be able to leverage SG&A in Q3?
John Vandemore: Well, just on that. I certainly don't think there is a product issue. We generated a pretty decent comparable store sales figure both in the U.S. at 7% and internationally at 17%. So that would certainly lead you to believe the product remains strong and everything we see, again in the backlog orders for the year would certainly not indicate there is any issue with the product. If anything, it actually continues to do extraordinarily well.
Jeff Van Sinderen: Okay. Good. And then leverage? Do you think leverage on SG&A starting in Q3 again?
David Weinberg: I would think so. You know, that's based on topline and where we are going. Part of the issue is, we have had more of the same we have had in the prior year. So, Korea was up but deleveraged somewhat more because we had to put a little more infrastructure than we had anticipated. China is anticipating such strong growth that we had to pump up expenses to handle the business that's coming and a bigger piece of that business is online, which has more infrastructure built because of the uniqueness of shipping one pair at a time for the size they are. So we do believe that we will catch up, that the topline will be such and that we will be able to again start to leverage again in Q3. It should be a very positive time for us. Just like we felt last year Q1 would be a positive change for us this year as well. And you have to also remember, Jeff, that Easter went into Q1. So of all the things that John was saying about the tough comps, Easter went into Q1, so all of the deliveries really were taken in Q1. Bad weather has issues with sell-throughs going through first quarter. It's now starting to pick up very nicely, which moves things then into second to third quarter. So we do believe it's all the shifts and they are positive. We are always better off shipping earlier like we did in first quarter and we will pick it up maybe quicker if the weather holds up and Mother's Day and Father's Day end up very strong.
Jeff Van Sinderen: Okay. Great. Thanks so much for taking my questions and best of luck as the quarter progresses.
David Weinberg: Thanks.
John Vandemore: Thank you.
Operator: Our next question is from Chris Svezia from Wedbush Securities. Please go ahead.
Chris Svezia: Thanks for taking my questions. I guess just first, just to clarify, what was causing Q1 the biggest surprise in terms of the expenses in terms of deleveraged FX, you generated $50 million in upside to revenues. Call it roughly another $50 million or so in expenses. So maybe if you could just walk through what really surprised you? What came on so strong and sort of call it the last month-and-a-half of the quarter that caused expenses to be as high as they are?
John Vandemore: Yes. I think David mentioned the most crucial and we even put it in the remarks was that international distribution related costs were a bit higher than we had anticipated. I think some of that, as Dave pointed out, are beginning to deal with higher volumes that we now see in China. I mean it's grown substantially again this quarter. So a little bit of maybe growing pains in terms of executing distribution at its peak efficiency. We just say it from a dollar perspective as well, recognize that we had some foreign exchange benefits on the topline. Well, that also translates through to domiciled cost in countries. So from a dollar perspective, that also exacerbated the issue. So I think generally speaking, I would lump them into distribution related costs at this point in time, but again that's the part of growing at a 30% clip in country and we will continue to refine that model as we go forward. But it's also, as David said, part of the price you pay for the success that we have had and continue to expect to have in the year in some of our key international markets.
Chris Svezia: Could you maybe tell us how much China actually grew in the quarter?
John Vandemore: It was over 30%.
Chris Svezia: And with regard to the inventories, whereby you say it aligns with the growth in the business or your thoughts about the growth in the business being up 37%. Could you maybe just add some color about that timing, comfort level in the inventory position?
David Weinberg: Well, I think it's fair to say we have tried to take inventory at the earliest possible time. We usually anticipating shifting some Q3 back into Q2. So part of it is that we have taken it early. We don't have a significantly larger piece of any of our inventory that's unspoken for. As the timing shifts, obviously we end up with more inventory and that we modify our production as we go forward. So we do anticipate that, from a numbers perspective, that it will come down as we go through the second quarter. We know the second quarter will be relatively light because we got it in early to begin with and it has to do with a lot of issues in China and others. And then you have to realize that we are building for a bigger retail model, our own, our bigger retail model in China which is all retail, which is whether it's franchises or around inventory for our own stores. We have to build it on an earlier basis and we are building bigger inventory in China as well simply to support the online business which is like your own stores. You don't sell it to somebody and move on. So we had to store those. We have also increased our inventory in South America which we think is just on the border of becoming much larger and we are opening a significant amount of stores in South America as we go forward. We have opened more stores in Japan and have picked up the base and in Japan their big shipping month is April in the first part of the year. So in the end of March, we had significant amount of inventory and we expect growth in Japan, one-off in April as well. So a lot of it is timing, a lot of it is new business and a lot of it is trying to get the stuff as we have always had a policy of taking it in early from the factory even if it's spoken for, should we need it to move things around.
Chris Svezia: Thank you. And just lastly, could you just maybe walk through what you expect in Q2 between U.S. wholesale, international, subsidiary distributor and retail? Just give any color and context relative to the overall revenue outlook for the quarter?
John Vandemore: The topline?
Chris Svezia: Yes.
John Vandemore: Yes. So as David mentioned, the domestic wholesale for us, we expect it will be down slightly, probably mid-single digits. International wholesale will kind of continue on the pace that it's been the last couple of quarters, probably a little better than this quarter. The distributors, we still expect to carry over the same effects that occurred in Q1. So we expect those to be down probably in the 20% range again. And then the global retail, we think is a mid-teens growth going forward. It's continued to do phenomenally well. The comps have been strong. And that's where we see things.
Chris Svezia: Have the comps held up as you got into Q2? What have they been like so far in April?
John Vandemore: Well, this is difficult. But we are comping against Easter last year. So they are down but we are comping up against Easter and anticipate after this week, when we get back to like-for-like, to be able to continue to increase.
Chris Svezia: Okay. Thanks very much. All the best.
John Vandemore: Thanks Chris.
Operator: Our next question is from John Kernan from Cowen & Co. Please go ahead.
John Kernan: Hi. Good afternoon everybody. Thanks for taking my question.
John Vandemore: Hi.
John Kernan: I think the SG&A dollar growth is obviously a point on the income statement that the sell-side has had trouble modeling in the past year or so. And it looks like the guidance implied for Q2 is pretty significant in terms of overall growth. You are now guiding to leverage, as I understand, in Q3. Can you just help us understand how you see SG&A dollar growth and SG&A rates progressing for the rest of the year? Because I think it's just creating a lot of volatility in terms of expectations. Thank you.
John Vandemore: Yes. I mean, listen, I think we had some irritation in G&A during the first quarter. We mentioned that having to do with distribution. We don't forecast that. That was more of an occurrence that was required to help propel the growth and we haven't been too shy about asserting that we are going to make sure we fund the topline growth. That's more important to us at the moment than ensuring that we are optimizing every penny in G&A. I think for the balance of the year, we continue to expect to see opportunities for leverage. Q2 will be tough because it's a lighter quarter. The distributors sales, while they benefited some to the gross margin line, it's important to remember that there is a very high flow-through on those sales down through to operating income and that's having effect when you look at operating income leverage because we are not getting the high quality distributor sales from that perspective. So that's something to keep in mind. Ultimately, our vision for the year is to continue to look for opportunities to leverage. We think that's possible. We leverage in selling expense this quarters. So we very much look at those two together. Tough comp in Q2, that was going to be the main challenge to operating leverage there.
John Kernan: Again, just on the working capital side, that accounts receivable line and the inventory line obviously growing in excess of sales. Just wondering I feel you are properly reserved on those line items. And with the inventory of 36%, can you just help us understand the composition of that by geography and channel? How much of the issues in the Middle East are playing into this? How do you expect to bring that down more in line with sales growing for the year? Thank you.
John Vandemore: Well, basically the Middle East is a nonevent as far as our inventory is concerned. They are a third-party distributor. We don't carry inventory for them specifically. They buy direct from the factory. So it's fair to say, the inventory growth is in those places we continue to grow. It's in South America, it's in the Far East, especially China as we said it was a big piece and for store growth as well. It's grown here somewhat. Like I said, most of the stuff here are spoken for. Our backlog is still at a big pace. We have just taken it in early. So we have said in the past, we used to monitor our inventory, not so much about how much is physically here at a time, but what is spoken for and what is not spoken for, what is speculative and what we have commitments for and purchase orders for us. So there hasn't been a it significant change, which means we are building inventory either for the stores. So what can happen if obviously the stores could be more or somewhat less based on their situation and depending on weather and sell-throughs and how fast they sell-through which has been very positive in the quarter. And for our customer base, our wholesale customer base, both in Europe, the U.S. and in China, it will depend on weather and sell-throughs. And if we can deliver the stuff earlier, we certainly will. If not, we will just have enough to deliver in May and June.
David Weinberg: And I would add that we are completely comfortable with the reserve levels we have with both of those line items. They are all a matter of timing and we feel completely comfortable with the reserve we have in place.
John Kernan: Okay. And then just few quick follow-up questions. One just on product cycle. What are you most excited about for the back-half of the year? And then the final cleanup question is, you have got pretty significant amount of cash in our balance sheet relative to your after-hours market capital. So just wondering, are you willing to get a step up the share buyback? I this it was fairly small in the first quarter. I am just wondering how you are thinking about capital allocation in the back-half of the year? Thank you.
John Vandemore: Yes. On the cash side, I mean the reason that the share repurchase is modest in the quarter is we simply had to make the arrangement, begin executing against that. That was certainly not due to a lack of appetite at the prices that were prevailing. It was rather more of a logistical challenge. And that will certainly be a use of cash for the foreseeable future. We have the authorization. We just put it in place last quarter. There is no need to amend it now. But we will certainly be looking at the share prices that prevail following today and use that as an opportunity to further execute on the repurchase authorization. And then to be clear, we do have some near-term expenditures on the growth side that we want to make sure we have funding for. In particular, we have a distribution center that's going to be going up in China. We have some campus consolidation occurring here in Southern California. We also made our first payment to the IRS for the transition tax which, as we mentioned, was about $100 million. So there is certainly some uses but we will continue to monitor our capital allocation approach as the business unfolds and address any excess cash when we feel it's prudent to do so.
David Weinberg: And as far as gold is products is concerned, I think it's more of the same. In the early part, we had great reception for the stuff we are going to deliver in back-to-school which is more of the same that you saw at the back-half of spring, just newness in styles and some new styles in Street and in the D'lites package including men's. And we are just starting freelines now for Q1 next year and they had very good reception, both domestically and internationally at the very early stage. So we feel very comfortable about the product cycle. We continue to come our way and that we will continue to develop product that will keep moving us forward.
John Kernan: All right. Thanks guys. Best of luck.
David Weinberg: Thanks.
Operator: Our next question is from Tom Nikic from Wells Fargo. Please go ahead.
Tom Nikic: Hi everybody. Thanks for taking my question. I was wondering on the gross margin line. I mean, you have sort of had a lot of quarter-to-quarter volatility. Up 20 bips one quarter, up 200 the next. Can you just help us sort of understand what's driving that line item and how we think about it for Q2 and potentially over the balance of the year? Thanks.
David Weinberg: Yes. This quarter was a bit of an anomaly on the gross margin for two reasons. The first is the lack of distributor sales on proportionally lower than what we would normally see in the international wholesale business. The second was the impact of FX rates year-over-year that were tremendously favorable for us in the quarter on top of the price actions that we had taken in some markets, particularly in the U.K. So those came to benefit us pretty significantly in the quarter. We also experienced a general segment mix lift as we continue to overemphasize the growth in international and direct consumer retail channels. So that was a help. On the offset side, we saw some lower gross margin selling product come through but also I just think it's the mix of who were selling to bigger accounts, bigger scale, there is a little bit of detriment there. But obviously overall good movement on the gross margin. I don't know if we are going to see a sizable a shift in Q2. That's not our expectation at the moment. But again, part of it is determined by the consumers and what they choose to focus on. So part of that is ultimately going to be a product mix issue that we can't control for. But our expectation at the moment is we will probably see some slight accretion in Q2, but nothing nearly as substantial as you saw in this quarter.
Tom Nikic: All right. And sorry if I missed this, but did you quantify how much revenue you think it's pushed out from Q2 to the back half of the year?
John Vandemore: We didn't quantify. I will tell you, I think it makes the difference between the slight decline that we anticipate and more modest mid to low single digit growth rate that we would have expected otherwise.
Tom Nikic: All right. Thanks.
John Vandemore: Thanks.
Operator: Our next question is from Sam Poser from Susquehanna. Please go ahead.
Sam Poser: Thank you for taking my questions. Good afternoon. All right. I am going to follow-up on Tom's question. Can you give us a dollar detail on how many dollars are moving from Q2 to Q3 in the domestic wholesale business, please?
David Weinberg: I don't know that we want to be that precise about it, Sam. I think hopefully the comment I just made is indicative enough. But again, I think the important thing to recognize in Q2 is the shift which again would swing us from a slight decline to a slight improvement. But also, recall last year there was a $20 million inflow into Q2 from Q3 that exacerbates the comparison this year.
Sam Poser: I understand that. Okay. So let's move on from that. The next question is, about six weeks ago or whenever you announced or any weeks ago announced Q4, you guided the SG&A to a certain level and the G&A came in well higher. And I guess the question is, how much of the incremental spend was last-minute to support -- when did this arise the need for this additional spend? And then lastly, given it seems like you have the full year sort of laid out, why not give full year guidance so people aren't tripping over quarters the way it is when you know where you are going to be full year, you know where you want to be and these shifts then wouldn't be making everybody scratch their heads so much?
John Vandemore: Well, on the second point, I would tell you, there is always going to be shifts. There is always impacts from the market. We are not, believe it or not, running our business to guide you guys expertly one quarter and then the other. We are running our business to grow the topline, ensure ultimately we have the structure in place to be a growth engine for the $6 billion that we are aiming training for in 2020 and make sure that our profitability is on par with the industry. The year would be challenged with as much potential variability as any given quarter because we are responding to consumer taste that shifts pretty quickly and customer orders that can shift from one quarter to another or in and out of a year to just as easily. So while I appreciate the comment on the full year, I think right now there is the same level volatility that attaches itself to a full year as it attaches itself to the quarter.
Sam Poser: And then about the G&A when you knew it and like when that transition happened?
David Weinberg: Well, it was a later event. As John said, it has to do with the distribution costs and by far March was a much bigger month and a much bigger by average which is why we were higher than our initial guidance as far as business was concerned, both in the U.S. and Europe and in China, which had a bigger piece coming through their franchises and their online business. It put a lot of pressure on our structure. We had significant amounts of increased labor costs. At time, we had to rent some additional space so we could process on a more timely basis and get things out. We have had growth in South America and Japan that started to come on, like I said, in March and April in Japan. So it really was a final rush that put us over the top as far as topline was concerned but did put some strain on our systems.
Sam Poser: Thanks very much. Good luck.
David Weinberg: Thanks Sam.
Operator: [Operator Instructions]. Our next question is from Laurent Vasilescu from Macquarie. Please go ahead.
Laurent Vasilescu: Good afternoon. Thanks for taking my questions. I think at your March presentation, you put out a goal of achieving 12% to 13% operating margins of 2019. Can you help us bridge that about between 2018 and 2019?
John Vandemore: Well, I would say, it's till our goal. Absolutely. We are not going to back off of a goal. But I would also remind you all that we are looking to grow the business. And if there is an opportunity to grow the business and it may require some near-term G&A spending, we are going to make that spend. Just think about David's comment about Q1 and the question is, do you ship or do you save G&A dollars? And we would rather ship. We would rather secure another customer. We would rather augment the brand's image in a new market. That's the choice we are going to make 10 times out of 10. So I would tell you, the operating margin is still a goal. We still think it's feasible and realistic, but it's also going to be subject to ensuring that we are optimizing the growth profile of the business across the globe. And again, if you look at the G&A composition, where we saw the irritation in Q1 was in our international markets and those are the highest growth potential markets. So we will continue to refine our operations there and over time be able to optimize down on the G&A. But in the near-term, we are looking to make sure we are optimizing the growth and building the brand in those markets because that's most important.
Laurent Vasilescu: Okay. Very helpful. And then on China, I think you mentioned it grew over 30%. Should we still think of China growing by $200 million for the full year? And any other comments on what's happening in China?
John Vandemore: Yes. It's absolutely still the goal. We will push it to even grow more if we can. I think China continues to be one of our most attractive markets and is growing phenomenally well. To David's point, it also is our highest growth engine online, which is a great new market for us to tap into and to benefit from the learnings there across the globe. So, absolutely.
Laurent Vasilescu: Okay. Great. And then just a follow-up on Tom's question about the first quarter gross margin, the 230 bips increase. Could you just possibly parse out the FX impact versus the actual mix benefit?
John Vandemore: Yes. The FX impact was maybe 300 basis points. The mix benefit was maybe 100. And there were offsets in product mix, customer mix that offset some of that to get to the net 230. But also, just note, it's not just the FX, it's the fact that when we had a challenged market a year ago, we took pricing successfully. The product continues to perform in that market. So to call it just FX, I think underwhelms the rationale and I think the strength of the product and brand in that market. So it's not as easy as just the FX rates change. I think it's what we did in the face of those to ensure that we remain profitable and growing in some of those markets and that's proven to be true.
Laurent Vasilescu: Okay. That's very helpful. And then the tax rate cam in shy of 10%. Can you help us think about the puts and takes in terms of by quarter, should we think of the second quarter just to meaningful step up function to get to your full year tax rate range?
John Vandemore: Yes. That's a little tougher only because we are dealing with an evolving understanding of the Tax Cuts and Jobs Act and its myriad provisions. What I would tell you about the quarter, as we had an adjustment to our preliminary evaluation of certain aspects of the transition tax and that led to about an $8 million favorable adjustment that rolled through that rate. There is also new accounting for the tax consequences of share-based awards to employees that came through that. That actually, by requirement, needed to be treated as a discrete item, even though we expect it will continue throughout the year. If we strip those away though, you would be a normalized tax rate that is certainly in that range and probably toward the higher end of the range we gave you. In particular, as we see the implementation of the global intangible minimum tax from the new law. That, as we said, is probably going to actually aggravate our rate versus historical standard.
Laurent Vasilescu: Okay. Very helpful. And then last question. I think noncontrolling interest line was nearly $20 million. How do we think about that line item for the full year?
John Vandemore: It continues. That's a big piece of China, India, Southeast Asia, those are where all the joint ventures flow through. So the more they earn, the faster they grow. The percentages don't change significantly. Obviously, we own the same percentage of each business as we did before but the number continues to grow.
Laurent Vasilescu: Should we think about that number as like in the $80 million dollars range?
John Vandemore: I don't know that the four quarters always come out quite that even but it's certainly a ballpark.
Laurent Vasilescu: Okay. Thank you very much and best of luck.
Operator: The next question is from Jimmy Chartier from Monness, Crespi, Hardt. Please go ahead.
Jimmy Chartier: Hi. Thanks for taking my question. So on the distribution expense, assuming that those businesses continue to grow at a similar rate the rest of the year, is there something actions you can take or have taken so that the impact from a distribution perspective isn't as great as it was in first quarter?
John Vandemore: Yes. Of course, we continue to do that. We are looking at them and to set up when you are outgrowing a facility or you becoming under duress, this is obviously not the most efficient way in the world. We will continue to add infrastructure which includes automation in Europe. We will do some modifications or automation to adjust to the way the business has changed and how our inventory flows and SKUs we have in the United States. We have already set up an overflow so that won't have to be repeated probably more than we will need. So we are constantly looking at making those efficiencies and when you get -- we ship, by far, the most pairs out of our distribution center in the U.S. and while we have been leveraging that since it opened six years ago, the good news is we starting to get to capacity and we will have to move forward. So we will look at and become more efficient over time within this growth.
Jimmy Chartier: So on the rest of this year, though, have you taken issue --?
John Vandemore: Yes. I mean we are trying to make some automation.
Jimmy Chartier: So that you will leverage distribution better?
John Vandemore: Yes. We constantly work at. The answer to that is, it depends how quickly we grow. There are capacity issues and if we go to top end, we will probably leverage some because that won't need any new real expenses. The question will be how many people and how concentrated the shipments and how big they are as we get into third quarter. But I do believe we will make inroads for that this year.
Jimmy Chartier: Okay. And then on China, more specifically, you are talking about the DC there. How does that help the cost structure in China over time and how far into the future before we start to see any benefit from that?
John Vandemore: Well, we are hoping to break ground before the end of this year. It should be ready in the next 12 to 18 months. It helps just like every place else. We build an automated system to the best we can, although their business uses are somewhat different and concentrated within different time periods than we have had in the past. But with like any automated system, what you do is, you have the big capital up front but it's not a P&L item. What you do is depreciate it over the life of the asset and that becomes cheaper and cheaper every year as you go forward, because even in China there are raises, the people get more benefits and more money and we try to move all into an automated process. So once it's built,, we own the building. There is no increase in rent. There is no increase and the biggest piece at a production, which is not on people. So we tend to leverage and become more efficient and that goes right to the operating line until we get to the point where we have capacity issues again. Then we build the next step and we repeat the cycle.
Jimmy Chartier: All right. Thanks and best of luck.
John Vandemore: Thanks.
Operator: Our final question comes from Omar Saad from Evercore ISI. Please go ahead.
Westcott Rochette: Thank you very much. This is Westcott, on for Omar. First question. Looking at the domestic wholesale and the ASP being down so much, I know it was a mix issue and you give a gross profit in your filings. Is there a margin shift as well? Is the gross margin in the domestic wholesale, has that changed?
John Vandemore: Yes. It will show a slight detriment, nothing extraordinary. And again, that's to the point of mix, both product mix, which again is a consumer driven affect as well as customer mix, right. If you are selling to larger volume customers who enjoy the benefit of more attractive terms, then you are going to see a mix effect there. I would just say, that's one quarter, right. So it's not anything that we are concerned about. It's just the quarterly effect of demand from the consumers and the mix shift you get with your customers at a given point in time.
Westcott Rochette: And are you seeing a similar mix in your own stores in terms of product ASP mix?
David Weinberg: Yes.
John Vandemore: Yes. The ASP decline was a little bit less in our retail than the overall and the margins were steady, but we absolutely saw the same general trend.
Westcott Rochette: And as far as visibility in the second quarter, third quarter, we will see, but would you expect a similar type of ASP that mix shift continuing?
John Vandemore: We have seen a fairly long-running trend in the market and even in our results of slight ASP declines, volume increases. And I think it is probably more likely than not to increase in the current season. We wouldn't see a midseason shift of dramatic proportions. So I think in general, it would hold but again that's against the backdrop of the growth that we have talked about that we expect to see over the full year.
Westcott Rochette: Yes, of course. And then your own retail stores obviously continue to do phenomenally, little bit of choppiness and the distribution piece of it coming up. Just two questions about that. One, what's going on in Middle East? Is that a delayed kind of shipment? Like they are running down? Do you expect to make that back up? Or just are those sales gone and you are starting a new lower base?
David Weinberg: Well, it's tough to say if they will come back. That would depend on what happens in the economy with the biggest single piece being Saudi Arabia. If you look into the news, there is a lot of big changes there. There are a lot of high-powered people detained in some hotel. There is a change in the mix there. Women are going back to work. They are going to have be allowed to drive. So they are trying to change it to make it a much more positive environment for selling and for tourism but we will see how fast and how quickly that goes. Right now, just moving those people into the sales force and having them change all their daily habits seems to impact retail in general. And then in the rest of the Middle East, there is a quasi-war going on everything that relates to Yemen and the fights politically. So as that straightens out, we do think that comes back. But you never make back the lost sales from this quarter. It just comes back to a higher running rate. We do believe ultimately we will get back to historical rates and beyond. But I don't know that will happen in this one year.
Westcott Rochette: Right and of course. And just one more. In looking at the success of your retail stores, are you able to take some of that product that was going to be delivered and run it through your retail channels, divert it and make some of it up in that way? Or are there big differences in what's selling in retail versus what you had planned to kind of distribute to your distributors? Thank you very much.
David Weinberg: The difference is not significant. We don't make any special products that's only available on our retail. So everything is pretty much interchangeable to some level all around the world. That's one of the benefits and we feel comparable with taking inventory early because there are a lot of places around the world we can use it at different timing. So like I said, we don't think there is a significant inventory issue. So I don't about what it means to force it into it. But certainly, through our outlet stores and box stores, we can move any inventory that's necessary or that's moved our so far that we can get new production for it. And we do that, by the way, with all our operating entities around the world. So not a major concern for us at all.
Westcott Rochette: Okay. Thank you very much. Good luck.
David Weinberg: Thank you.
Operator: Thank you. This concludes the question-and-answer session. I would like to turn the floor back to management for any closing comment.
A - Unidentified Company Representative: Thank you again for joining us on the call today. We would just like to note that today's call may have contained forward-looking statements. As a result of various risk factors, actual results could differ materially from those projected in such statements. These risk factors are detailed in Skechers' filings with the SEC. Again, thank you and have a great day.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Again, thank you for your participation.